Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss Wayside Technology Group's Financial Results for the Fourth Quarter and Full Year Ended December 31, 2020. Joining us today are Wayside CEO, Mr. Dale Foster; and company's CFO, Mr. Michael Vesey; and the company's outside Investor Relations Advisor, Sean Mansouri with Gateway Investor Relations. And by now, everyone should have an access to the fourth quarter of the full-year of 2020 earnings release, which went out yesterday afternoon at approximately 4:15 pm Eastern time. The release is available in the Investor Relations section of the Wayside Technology Group website at waysidetechnology.com. This call is also available for webcast replay at the company's website. Following management remarks, we'll open the call for your questions. I would now like to turn the call over to Mr. Mansouri, for some introductory comments. Thank you.
Sean Mansouri: Thank you. Before I introduce Dale, I'd like to remind listeners that certain comments made in this conference call and webcast are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to certain known and unknown risks and uncertainties, as well as assumptions that could cause actual results to differ materially from those reflected in these forward-looking statements. These forward-looking statements are also subject generally to other risks and uncertainties that are described from time to time and the company's filings with the SEC. Do not place undue reliance on any forward-looking statements, which speaks only as of the date of this call. Except as required by law, the company undertakes no obligation to revise or publicly release the results of any revision to any forward-looking statements. Our presentation also includes certain non-GAAP financial measures, including adjusted gross billings, adjusted EBITDAA, net income excluding separation expenses and non-GAAP earnings per share as supplemental measures of performance of our business. All non-GAAP measures have been reconciled to the most directly comparable GAAP measure in accordance with SEC rules. You'll find reconciliation charts and other important information and the earnings released and Form 8-K that we furnished to the SEC yesterday. I'll now turn the call over to wayside CEO Dale Foster. Dale?
Dale Foster: Thank you, Sean, and good morning, everyone. We ended 2020 in a very strong note delivering growth across all our key financial metrics for the fourth quarter. Gross Billings, net sales and gross profit increased to record-levels during the quarter as we maintained our focus on adding new emerging vendors to our line card, integrating CDF and driving additional synergies from our acquisition of Interwork. Both acquisitions are contributing to our top and bottom line and our businesses organically recover from the lows of the pandemic in the second quarter, and we are back on track and executing our growth strategy. And our ability to navigate through the pandemic would not have been possible if were not for the resilience and exceptional support from our employees or customers and vendors across the globe. And we genuinely thank you. Our growth strategy can be broken down into three key initiatives: first continue to drive organic growth and revenue from our business by deepening existing vendor relationships; second, diversifying our vendor line card by adding new emerging vendors with above average long term growth potential; and third, we'll utilize our balance sheet and our cash and free cash flow to identify and make accretive acquisition, all the while improving our overall profit margin. The two acquisitions we completed in 2020 further expand our suite of products and the depth and breadth of our vendor network. The acquisitions significantly increased and enhanced our teams' go-to market approach. As a result of these acquisitions, our team nearly doubled from 150 to 270 employees today, an accomplishment I'm particularly proud of, knowing full well that this is the engine we're building for our future success. With our acquisition of Interwork now fully integrated, the Climb in Interwork teams are executing as a single unified team across U.S. and Canada under the Climb branding. We're doing an excellent job identifying valuable cross-selling opportunities in both markets. We've had a significant number of sales wins with some of the largest resellers in North America due to our expanded portfolio and with our strategic vendors. Through Interwork, we have deepened our relationships with previously overlapping vendors such as a Acronis with their cloud based offering, and we're also able to add Trend Micro, a significant vendor to our partner network in both Canada and U.S. Our integration and expansion with UK-based CDF is well underway as our legacy European office in Amsterdam now reports to the CDF distribution Vice President. We continue to see consolidation and cost savings as we go forward. There will be fewer overlapping vendor relationships with the CDF acquisition, providing significant cross-selling opportunities between EMEA and our U.S. and Canada salesforce. We are more united each day as we continue to develop a strong and focused sales team and culture of success. With the acquisition of CDF, we inherited some notable presence and strong partner relationships across Europe, developed over the past 20 years. By combining the Climb distribution and CDF distribution teams and operations teams, we're now the exclusive European provider of Intel software's developer tools. Cloud Know How, a division of CDF cloud services business holds and maintains vendor certifications with marquee vendors such as Microsoft, Flexera, Quest and many others, further enabling our cloud credentials. Leveraging Cloud Know How's cloud services businesses, a specialized team of adaption and migration experts, advances our position and standing with our reseller partners making us a viable value-added service provider. This represents a significant strategic leap beyond our traditional IT distribution function, another important element of our CDF acquisition. Importantly, this offers real opportunity for Wayside to expand its overall operating profit margin. Now Climb Channel Solutions and CDF can provide CDF [ph] customers with services ranging from every day technical support and specialized consulting and become an indispensable partner to our customers. On a product level, CDF helps expedite the development of our internal cloud platform which can be utilized by all of our subsidiary businesses across the geographies. We expect to launch new vendors onto the cloud marketplace in April and we'll continue to roll out as many vendors that are moving to a subscription-based cloud model. Before discussing our vendor alliance strategy, which focus on identifying and onboarding high potential emerging technology vendors, I would like to share a few words about the SolarWinds software cyber-attack that occurred during the 2020 fourth quarter. Wayside's operations were not directly affected. Our organization was not using the version of software that contained the compromised code. Our vendor partnership with SolarWinds accounted for less than 10% of our 2020 gross profit. To be sure, we experienced some sales weakness as a result since a cyber-attack was publicized, we have maintained a solid relationship with SolarWinds and its full suite of security and emerging technology products. We will continue to work closely with our vendors to preserve the safety and security of other offerings and remain as supportive of our partner as SolarWinds. Let me now highlight a few important vendor wins and updates from the quarter. In November, we began distributing Zendesk's customer relations management software. The service first customer package offering is a powerful and flexible software designed to help companies foster better communication and relationships to scale. Through its CRM offering, businesses can offer a unified customer interface while seamlessly engaging with our customers across multiple channels including email, chat, voice, WhatsApp, WeChat, and other social media messaging apps. Zendesk is very well-known and a successful brand, now expanding its route to market to include distribution via Climb Channel Solutions as the only distributor. We expect to be a big part of Zendesk's increased sales growth in the channel in 2021. In addition to offering solutions with frontend interfaces, we are expanding our core technology product offerings from data centers and cohesive backend operations. We are now distributing SUSE innovative opensource solutions which comprise a best-in-class Linux operating system, a market leading Kubernetes management platform and a host of pioneering edge capabilities. These capabilities allow data centers to efficiently integrate all products in the core of their operations. Through our distributor distribution partner with SUSE, we now offer their opensource solutions in expanded partner base delivering incremental value to our vendors throughout North America. I'd like to highlight a unique success we enjoyed with one of our key partners Tintri, which is owned by DDN. Over the year ago, Tintri and Climb agreed on a mutual investment plan to increase sales. We both made substantial investments in brand enablement, marketing and key personnel. Our investments are paying off during the fourth quarter. Tintri became a top five brand for Climb Channel Solutions while becoming a focus brand for our entire global sales team. I'm extremely pleased with the vendors and products we have added to the portfolio during the fourth quarter and the year just ended. Each enhances our offering in core product areas and serves as a testament to the continued focus and growth and growing strength of our sales business. I would also like to acknowledge the incredible leadership of Charles Bass and our entire vendor alliance team. In December, Charles promoted to Chief Marketing Officer, a newly created executive role of Wayside Technology Group. Under his leadership, our teams work diligently to drive brand awareness, improve marketing efforts and bolster sales and vendor alliance strategies. The results have been excellent and as evidenced in our record results in the fourth quarter and the year. Finally, a new strategic initiative that we just started and took last year was to build upon our organic growth strategy. We launched a division called Climb Elevate, a wholly owned subsidiary of Climb Channel Solutions and the next logical extension of our strategy to target new, emerging and technology brands. Climb Elevate focuses on efficient code to ship processes for brands that aren't quite ready for full distribution partnership with Climb. This will increase our addressable market and the breadth of our potential new and exciting brands that we can take to market at full scale in the future as they develop. This new division will be led by an industry veteran Michael Bernstein, who joins us after a 26-year career at CDW. Climb Elevate will strengthen our overall market position. We expect it to be a growing auxiliary business and allow our sales teams a more efficient allocation of time and effort with our existing and new vendors. As I reflect on my first full year of CEO at Wayside, I'm proud of the excellent progress we have made with the two strategic acquisitions and related integrations, while simultaneously advancing our strategic objectives throughout 2020. We grew our topline and managed margin throughout the pandemic, all the while rationalizing our balance sheet to provide more cash than we've ever had as a company. We remain committed to driving earnings growth shareholder value. We're just getting started and I look forward to accelerating our strong momentum throughout the year ahead. Before turning the call over to Mike Vesey, I want to reiterate my gratitude to our combined Climb Channel sales solutions teams, Interwork, CDF and tech extend teams for all of your dedicated work and for expanding and supporting our vendor and bar and then use the network during what was arguably the most challenging year in the most recent history. I'll now turn the call over to Mike Vesey, our CFO for our financial results.
Michael Vesey: Thanks, Dale, and good morning, everyone. Before we kick things off, I'd like to remind everyone that our financial results include eight months of operating results from Interwork, as well as approximately two months of contribution from the acquisition of CDF, which closed on November 6, 2020. Net sales in the fourth quarter of 2020 increased 17% to $71.4 million compared to the year-ago quarter. The strong quarter reflects the impact of the two acquisitions completed this year, as well as growth within our existing vendor network during this period of seasonal strength in our business. Adjusted gross billings and non-GAAP measure increased 35% to $226.4 million in the fourth quarter of 2020, compared to the year ago quarter. Gross profit in the fourth quarter of 2020 increased 34% to $10.5 million compared to $7.9 million in the year-ago quarter. The increase was primarily attributable to the aforementioned strong net sales growth generated during the quarter. With Interwork fully integrated and CDF already generating meaningful contribution, we expect our acquisitions to continue contributing to our profitability improvements. SG&A expenses in the fourth quarter of 2020 were $7.7 million compared to $5.3 million in the year-ago quarter. As a percentage of net sales, SG&A was 10.8% compared to 8.8% in the year-ago quarter. The increase was primarily driven by acquisition related costs associated with the CDF transaction, the additive expenses of the acquired businesses and increased sales costs as we continue to invest in more personnel to drive future growth. As we grow, we expect SG&A margins to improve as we leverage the resources of our combined organizations. Net income in the fourth quarter of 2020, increased 25% to $2.5 million, or $0.58 cents per diluted share, compared to $2 million or $0.45 cents per diluted share in the year-ago quarter. Adjusted net income, which excludes non-recurring costs related to the unsolicited bid, and the Interwork and CDF acquisitions increased 37% to $2.9 million or $0.69 cents per share, compared to $2.1 million or $0.48 cents per share in the year-ago quarter. In the fourth quarter of 2020, adjusted EBITDA increased 44% to $4.4 million compared to $3 million for the same period in 2019. The increase was primarily driven by the aforementioned growth and gross profit during the quarter resulting from the impact of the businesses we acquired during the year. Effective margin, which is defined as adjusted EBITDA as a percentage of gross profit increased 280 basis points to 41.4%, compared to 38.6% in the year-ago quarter. Cash and cash equivalents increased $29.3 million at December 31, 2020, compared to $15 million at December 31, 2019. We remain debt-free as well. During the fourth quarter, we paid the full $17.4 million net cash purchase price, which excludes working capital and other adjustments for CDF. Even after this payout, our higher cash balance relative to the end of 2019 reflects sustained improvements in working capital resulting from the liquidity benefits of an early paid discount program implemented with one of our large customers during the second quarter. On February 23, 2021, the Board of Directors declared a quarterly dividend of $0.17 cents per share of common stock, payable on March 19, 2021 to shareholders of record on March 12, 2021. As we look ahead through 2021, our continued strong liquidity position provides us with flexibility to execute on our organic and acquisitive growth initiatives. This concludes my prepared remarks. Now, we'll open it up for questions.
Operator: Thank you. [Operator Instructions] And our first question is from the line of [indiscernible], an investor. Your line is now open. Thank you.
Unidentified Analyst: Hi, Dale. Can hear me there?
Dale Foster: Yes, I hear you fine. Thanks, Howard.
Unidentified Analyst: Great. So, congrats to you and the entire team on an outstanding quarter and really for setting the stage in 2020 with those two acquisitions and getting rid of what I call the 'crazy AR financing program' with your vendor. My question is really looking forward. Now that you've got Interwork and CDF integrated and you've really expanded your footprint with this, there are really a solid cloud based distribution system and you've stated your markets into Canada and Europe, and now you've crossed really, $1 billion annualized in gross billings. I guess, two parts -- what do you see in 2021 as reasonable growth targets? I know you don't give guidance, but are we looking at 10% growth? 20% growth? Just give us some perspective of what you see for Wayside in 2021. And then, also longer term, what do you see as your total addressable market in the emerging technology IP distribution market that you play in, especially given these two acquisitions you made and how that's expanded your market?
Dale Foster: Yes, thanks, Howard. And the first part as far as where we see our growth, you're right. Expanding our team members, like I said to over 270 team members and everybody, we just got done our sales kickoff for 2021, which you can imagine it's virtual, but we feel like the productivity came out of it very well. And what we're looking at is an 8% to 12% growth. Not just an internal thing that we focus on. We have our own metrics for our sales teams, where we actually set their commission and compensation plans. But that's the growth that we're trying to achieve, not that we do give that, but that's the goal in that range. As far as the addressable market, it's a little more difficult. We look at it two ways. So we have the big distributors that are out there, the four big ones that make up way over $100 billion and if you look at just the let's take North America, because 60% of -- I'm sorry, looking at the emerging vendors, they look at the U.S. and North America being 60% of their overall sales and each one of these big distis [ph], probably has a 10% emerging vendor portfolio that they go on. So, they didn't say it's $100 billion, $10 billion is the emerging side of things and that's the group we're competing against. And if you look at where we are in the gap, with $1 billion, like you said as net, the next one is $20 billion. So, we have a big gap that we can play in before we really become too disruptive to them in the emerging space. And then expanding -- we look at the North American market as so combined right now because Interwork integration was so seamless and so quick, it's Climb Channel Solution. We don't even talk about Interwork we do in this release, but it's really one team. We have integrated so many of the Interwork teams into our everyday work and same thing going back into the Interwork side. So it's really one group. But if you look at that back to the addressable market and where we went into Europe, where we were really just a satellite office and now we have 100 and some people in the UK, we see that as our real next expansion piece of it. So okay, addressable market, I can just keep saying it's big and huge, we need to get more addressable and probably research so that we know that that number is in the $5 billion to $15 billion range that we can go into.
Unidentified Analyst: Great. If I could add just one quick follow up for Michael. With that 8% to 10% somewhere in that range of growth, what do you have for metrics or what would you be happy with in terms of percentage bottom line? What's your target margins and target profitability? If you can give anything color on that.
Michael Vesey: Yes, sure. I think the best way to look at it, because you do have the acquisitions to consider when you're looking at our historical results for 2020 and trying to look into the future here. So first thing, I would do is start with this year as a baseline and we acquired two businesses during the year. Interwork, we said it would contribute about a $1 million in EBITDA per year once it's rationalized into our business, which it is now. So in our current year results, we have eight months of Interwork. So, next year we're going to pick up four if you want to look at it that way. So, we'll pick up say, $400,000 of EBITDA just because we're picking up a full year of Interwork fully integrated next year. On the CDF acquisition their historical EBITDA looking backwards for their financial year that was ended in June 2020 actually, but they did about $2 million dollars in EBITDA per year. So, in this year's results we picked up close to two months, next year we'll pick up another 10. So, you'll pick up another, you don't call it $1.6 million in EBITDA from that acquisition. So, between the two of them, we'll have $2 million of growth on EBITDA line just by virtue of the fact that we have the acquired numbers built in next year. So, I think that's the starting point if you're trying to look at what the next year is going to be and model it out. And then I think the question you're asking on top of that is, well, what's the organic growth going to be in those businesses? I guess, organic growth plus synergies and crush opportunities between the businesses. And I think that's where we get to the number that Dale was talking about somewhere in the high-single digits to low-double digits on top of that.
Unidentified Analyst: Great. Well, thanks then and congrats again on a great quarter, really tying up a nice year for the transition and Wayside.
Dale Foster: Thanks, Howard.
Operator: And there are no questions at this time, sir. Turning it back to you, Mr. Foster. Thank you.
Dale Foster: Yes, again, thanks for everybody on the call today and keeping track of us as a company. I'm going to refer back to it's about the team that we're building as the engine of the company going forward. You'll see continued news from us as we go out throughout this year and I'd like to thank all the employees, our Board of Directors, super supportive, and just the teams for during a challenging time, making it work. The biggest thing we're all facing is productivity right now and we got up and down throughout the summer and I think now we've got the optimism that we can soon get to traveling again and really start seeing people, because the relationships should be face-to-face. But with that, again, thank you for the support of the company. I appreciate and I'll turn it back to the operator.
Operator: Ladies and gentlemen, this concludes today's conference call. You may disconnect your line at this time. Thank you for your participation.